Operator: Good day, and thanks for standing by. Welcome to the Avalara First Quarter 2021 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Jennifer Gianola, Vice President of Investor Relations. Please go ahead.
Jennifer Gianola: Good afternoon, and welcome to Avalara's First Quarter 2021 Earnings Call. We will be discussing the results announced in our press release issued after market close today. With me are Avalara's CEO, Scott McFarlane; and CFO, Ross Tennenbaum. Today's call will contain forward-looking statements, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include statements concerning financial and business trends, the impacts of COVID-19 on our business and global economic conditions, expectations regarding the integration of acquisitions into our business and growth opportunities and synergies arising from such acquisitions. Our expected future business and financial performance and financial condition and our guidance for the second quarter and fiscal year 2021 and can be identified by words such as expect, anticipate, intend, plan, believe, seek or will. These statements reflect our views as of today only, should not be relied upon as representing our views at any subsequent date, and we do not undertake any duty to update these statements. Forward-looking statements, by their nature, address matters that are subject to risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of the material risks and other important factors that could affect our actual results, please refer to the risks discussed in today's press release, our annual report on Form 10-K filed with the Securities and Exchange Commission on February 25, 2021, and our other periodic filings with the SEC. During the call, we will also discuss non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. A reconciliation of the GAAP and non-GAAP results is included in our earnings press release, which has been filed with the SEC and is also available on our website at investor.avalara.com. With that, let me turn the call over to Scott.
Scott McFarlane: Thanks, Jennifer, and welcome to everyone joining our Q1 2021 earnings call. Q1 was a great start to the year for Avalara, continuing the momentum we experienced in 2020. We reported total revenue of $154 million, representing an increase of 38% year-over-year, an acceleration in growth from the fourth quarter, exceeding our expectations. Calculated billings hit a quarterly record of $172 million, an increase of 47% year-over-year, our highest year-over-year growth rate since going public. Our 38% year-over-year growth in total revenue was driven by continued strong execution across the business and the addition of strategic acquisition that we closed in Q4. We were pleased to see new customer wins across a wide range of industry, segments and geographies, and we experienced strong customer retention and solid upsell activity. In addition, we are winning large multiproduct deals and seeing more cross-sell wins from our acquisitions. Our international business performed very well as the team saw increased uptake from our largest marketplace customer. As you can see from our strong results, customers are choosing Avalara to automate their tax compliance at an excellent pace. Our value proposition has never been more relevant. And there is a massive market and category opportunity that's ahead of us. We believe compliance automation is inevitable. As the world begins to reopen and the broader environment begins to normalize, we expect Avalara to remain the durable, long and strong business we have built it to be. As I've said before, we have a bold vision to be part of every transaction in the world, and I'm proud that we have found a working formula that allows us to deliver strong results today and aggressively build the global category-defining cloud compliance platform of the future. Stepping back, it took Avalara 16 years to hit $0.5 billion in revenue in 2020. And since reaching that milestone, we are on track to hit an annual revenue run rate of $700 million in 2021. As a start-up back in the early 2000, we envisioned the flywheel effect where our content, partner moat and technology platform would come together to produce a truly unique and scalable business. We believe that this year is an important inflection point for Avalara. Over the past several years, we've been making the investments organically and through acquisitions that have positioned us to lead and shape the future of global compliance. Regardless of our success to date, this journey is really just getting started. We are benefiting from fundamental shifts in the fabric of commerce and regulatory obligations along with rising adoption of cloud-based infrastructure and ROI expectations in the market. The growth of omnichannel commerce is a generational opportunity for Avalara. Businesses adopting or expanding e-commerce are excellent prospects for us as their omnichannel complexity and compliance exposure grows. Avalara has often benefited from the consistent drumbeat of regulatory change. When combined with other triggers, these changes act as important events that drive businesses to adopt tax automation. As a recent example, Florida, one of the last states to adopt the Wayfair economic nexus standard, is enacting it into law this summer. In addition, Congress has amended the Prevent all Cigarette Trafficking Act, also known as PACT, that cover vaping products starting this year. Vaping products will now be treated like cigarettes, which require a collection and recording of excise taxes. As a reminder, several years ago, we acquired a company with domain expertise in fuel and built it into an excise compliance business. We have now leveraged that platform to automate compliance related to vaping and tobacco products. As more and more businesses of all sizes continue to replace on-premises financial and business applications with cloud services, the concept of cloud compliance has become more broadly accepted in the market. One of the drivers of this shift is the economic efficiency cloud services and automation delivers. As the economy continues to resurrect from the challenges of the COVID pandemic, we expect cost efficiency and ROI considerations to remain part of the new system acquisition discussions. And our message on that front continues to resonate with our prospects. We saw these trends play out with our customer and partner wins in the first quarter. Here are just a few examples. We won a large deal with a skincare company for a deal value of $245,000, which includes annual recurring revenue, onetime software and services. The company selected Avalara based on our integration with a small e-commerce application, our largest marketplace partner, our SST program and our Avalara Consumer Use product. We won a large international deal in India with a fast-growing online gaming company for a deal value of $225,000. The deal is both an international win and an AvaTax win. We were excited to have won this large-sized deal after having launched our first products in India in the back half of last year. We are seeing early successes winning deals with our Avalara and TTR go-to-market strategy, including an enterprise deal with an electric vehicle company for $53,000 and a real estate technology company for $160,000. TTR was instrumental in helping us win the EV deal due to their content expertise around electric vehicle charging stations, taxability and parking fees. Additionally, we won several competitive and takeaway deals. We won a takeaway of a Global 2000 luxury brand retailer for a deal value of $154,000. This company selected Avalara because of our AvaTax integration with SAP ERP, our integration with a retail POS application and our relationship with a tax consulting firm. We displaced a competitor at a coffee company with a deal value of $112,000 due to our integration with Oracle JD Edwards EnterpriseOne and our integration with a mobile and POS platform. We also won a deal with an eyewear company for a deal value of $145,000 due to our prebuilt integration with Oracle ATG Web Commerce and our partnership with an online digital commerce consulting company. And we had even more wins on the e-commerce front. We won a pool kit company for a deal value of $88,000 due to our integration with NetSuite and an e-commerce platform. We won a learnings product company for a deal value of $178,000 due to our integrations with a well-known accounting software application and a leading e-commerce platform. In the cross-border space, we won a $249,000 deal with an e-commerce services company for our cross-border calculation and item classification solutions. One of my favorite deals is an identity monitoring company for a deal value of $70,000. This deal exemplifies what we are doing at Avalara and why I stick firm to my belief that, over time, every business will automate tax compliance. This company has been around since 2009, and they just now adopted tax automation because they learned they had nexus in 40 states and were out of compliance. If you step back and think about all the customer examples I've just discussed, we are selling across the global economy in every industry, from pool kits to eyewear to esport. As demonstrated by our broad and diverse customer wins, Avalara's partner moat continues to be a key enabler, especially as businesses shift to omnichannel commerce and seek a single tax compliance platform that can integrate to multiple disparate systems. That's why we continue to broaden and expand our competitive partner moat by actively forging new relationships that offer integrations with more business applications and exposure to more potential customers. In February, we announced the release of 10 new certified integrations with more accounting, ERP, e-commerce, point-of-sale, mobile commerce and CRM software application, in addition to adding 22 new marketplace customers utilizing Avalara tax technology solution. More recently, we announced another 22 new certified integrations into business applications, including Oracle, BRM, Rapid POS powered by NCR Counterpoint and Sage BusinessWorks. Our total number of signed partner integration is over 1,000 and growing. We offer far more prebuilt integrations with business applications than any other tax software provider and plan to continue adding more. Integration in the niche business applications are often major, if not deciding factors when evaluating Avalara. So the long-tail strategy remains important.  It's great to know that in the competitive landscape, these companies continue to choose Avalara as their compliance provider to their customers. And our launch team is fully engaged to get these new and emerging partnerships up and running. Now I'd like to talk a little bit about Avalara's R&D machine and how our investments are accelerating our platform journey, allowing us to outpace the market. Avalara is and always has been a technology-first and cloud-first company. We are technology first because we have put engineers and tax professionals together to design and build modern cloud-first solution to meet complex tasks and compliance challenges for our customers. We have been cloud-first since we started Avalara in 2004 and hosted our first tax calculation service in our own cloud data center. What do I mean by cloud-first? Cloud-first means inherent scalability, security, high speed and high availability, all based on a globally distributed platform. Three years ago, we started a major transformation. We have nearly tripled our investment in R&D head count and moved all our cloud services onto AWS. Today, nearly 1/4 of our employees work in R&D. We hired engineers and engineering leaders with vast experience from major cloud companies to build modern cloud-first solutions. Our future-focused multiproduct platform, the Avalara compliance cloud, consists of calculation, returns, compliance document management, licensing and registration, fiscal representation, tax content and insight solutions. While others are building on-premises or point products in the cloud that focus on PAC, we are building a modern, integrated global cloud compliance platform that will support a broader complement of global compliance interaction. Based on feedback from our portfolio wins, customers buy into our long-term product vision and future road map. That means our upcoming products are just as important as the products we have today. After a remarkable 2020 for product rollout, we are excited about bolstering our portfolio again in 2021. At our upcoming Analyst Day, Sanjay Parthasarathy, our Chief Product Officer, will provide an update on our multiproduct journey and expanding platform vision for 2021 and beyond.  We also continue to charge ahead in our acquisition strategy. We are driving hard organically and through M&A to continue building our global cloud compliance platform and future-proof our leadership in this space. We leverage M&A to expand our tax content repository, add new capabilities in technology and further our geographic expansion. In addition, we have been adding impressive talent and are aggregating some of the brightest minds in transaction tax. On April 6, we announced the closing of our acquisition of Inposia, a German software company focused on e-invoicing, digital tax reporting and business and data integration to address real-time compliance requirements for companies worldwide. Today, Inposia serves more than 500 customers, primarily multinational European businesses, and owns or manages 19 integrations in the country-level tax reporting system. I'm excited to welcome Co-Founders, Muzi and Javi of Inposia as well as all the Inposia employees to the Avalara family. We look forward to our work with Inposia as governments continue to adopt and expand electronic reporting requirements. The proliferation of real-time compliance requirements from tax authorities around the world arose from the need for financial transparency and fraud reduction. More than 60 countries rely on or have announced intent to move to e-invoicing systems for compliance. On April 20, we announced the acquisition of the operational assets from DAVO Technologies, a privately held Maine-based company that helps small businesses automate sales tax. DAVO integrates with trusted point-of-sale systems such as Clover, Square and others to support more than 4,000 small businesses in the United States, including coffee shop, bike stores, flower shops, bakeries, restaurants and many other types of businesses.  DAVO is highly strategic to Avalara for 2 reasons. The first, DAVO accelerates our capabilities, integrations and know-how to advance our efforts in winning the low end of the market. Combined with our own organic point-of-sale efforts, which we have mostly been focused on, the mid-market and enterprise segment, we are paving the way to grow a large next-generation point-of-sale business. This is so important because it enables us to serve not only the brick-and-mortar only merchant, but also the rapidly growing omnichannel merchants that serve their customers through combinations of point-of-sale applications, e-commerce platforms and marketplaces. We believe we are building the only tax compliance company that can service any type of customers' omnichannel requirements. Second, DAVO has designed a solution and has capabilities to enable real-time remittances. It manifests today through a managed compliance solution that sets aside funds daily and then files and pays the taxes when due. DAVO provides us with the capabilities to help complete our vision to enable real-time compliance with variable split payments to government at the time of the transaction. DAVO was a natural strategic fit, and I'm excited to welcome Pete, DAVO's CEO; and David, DAVO's Founder as well as all of the DAVO employees to the Avalara family. Also, I would like to update you on another previous acquisition. In February 2019, we acquired Indix's AI technology and expertise. I'm very excited to provide an update to you today. The holy grail of getting customers live is to automate tax code mapping. Historically, tax code mapping has been a challenging process for customers that onboard onto AvaTax, sometimes taking several months. But in the last few weeks, we have shipped our new tax classification feature, and it's available to all AvaTax customers. With Avalara's machine learning platform for tax code mapping, tax code recommendations come back in real time. I've always believed that to win, we must provide a holistic approach, including great products, great content, great integration and great onboarding. A big part of driving great onboarding is to automate tax code mapping. It's difficult to overstate the significance of this holistic approach in making the lives of our customers easier. Last but not least, to guide Avalara's continued growth in innovation, we established the Avalara's founders forum, a dynamic group that includes the founders of companies that have been acquired by Avalara and who remain employees of the company. This group is a unique cohort of talented founders who have the experience and industry know-how to help Avalara drive forward into the future and realize our bold vision to build the global cloud compliance platform. We will continue to move forward with the foundational elements of our business. Acquisitions have been an important part of our success. We will continue to look for and close opportunities that we believe will improve and sustain Avalara and our growth objectives. I'm really excited to tell you that our annual CRUSH conference is back this year on May 27 in our first ever virtual-only format. This event is our fifth annual tax conference and industry gathering and will be much broader, bigger and more global than previous events. We are aspiring to hit 10,000 registered attendee, 10x the attendance of 2019. We are bringing together some great professionals and practitioners at the forefront of tax compliance, commerce and technology. We look forward to all of you joining us later this month at the event. Finally, I'm pleased to tell you that Avalara won the virtual well-being programs category award from Ragan's Employee Communications Award class of 2021. This honor recognized Avalara's excellence in creating and executing exceptional internal communication campaigns, programs, benefits and initiatives that kept our workforce, remote or in person, engaged and informed, especially throughout the challenges posed by the COVID-19 pandemic. In addition, we continue to make progress with our corporate sustainability initiatives, including the launch of our new leadership training program and a new employee resource group called Access, focused on employees with disability, bringing our total number of employee resource groups to 6. As we've always said, we believe we are a long and strong business, single-digit penetrated in a large addressable market and a long-term play based on automating statutorily required function. We believe we are outpacing the competition and driving the future of not only sales tax automation but global compliance. We're excited to raise our guidance for fiscal year '21, and we believe we can grow and scale Avalara into a multi-product, multibillion-dollar revenue company over time. Thank you. And with that, I'll turn it over to Ross.
Ross Tennenbaum: Thanks, Scott. Avalara posted a strong Q1 performance across the board that exceeded our guided metrics. Q1 billings exceeded expectations driven by a notably balanced environment with strong demand from new and existing customers; strength in international, which outgrew North America; and deals across all customer segments, including multiproduct deals with large deal values. The rise of omnichannel driven by the generational shift to e-commerce continued to be a growth driver in Q1 and we believe will remain a tailwind for the longer term. Q1 total revenue was $153.6 million, up 38% year-over-year or up 28% after excluding revenue from acquisitions since Q4 2020. I am pleased to tell you that this strong performance reflects the expected reduction in the SST programs compensation formula in February and March as January was the last month under the former compensation formula. We continue to add new SST customers and work down our backlog. Subscription and returns revenue grew 32% year-over-year to $139.3 million or up 27% excluding acquisitions and represented 91% of our total revenue. Professional services revenue was $14.3 million, up 142% year-over-year or up 58% excluding acquisitions. The high growth rate in organic services revenue reflects stronger demand for our services, which include nexus studies, voluntary disclosure agreements, back filing services and implementation. Inorganic growth was largely driven from strong licensing and registration work from our business licenses acquisition and, to a lesser extent, tax recovery services from TTR. Our core customer count increased by 690 from the previous quarter to approximately 15,580 at the end of Q1 '21, a year-over-year increase of 20%. Our net revenue retention rate was 107%, up from 104% last quarter and resulting in a 106% 4 quarter average. This reflects healthy gross revenue churn consistent with last quarter. While we were pleased to see NRR improve over Q4, we remind you that our NRR is calculated using total revenue, which is subject to the impact of nonrecurring professional services. NRR also currently excludes upsell revenue from our SST program, which has been growing meaningfully. In discussing the remainder of the income statement, please note that unless otherwise stated, all references to our expenses, operating results and share count are on a non-GAAP basis and are reconciled to our GAAP results in the earnings press release that was issued just before this call.  Gross profit was $113.2 million in Q1, representing a 74% gross margin. This compares with gross profit of $79.6 million and a 71% gross margin in the same period last year. Gross margin improvements have resulted from automation activities that slow head count growth in our compliance and content functions as well as improved pricing and more efficient consumption of our cloud infrastructure. Sales and marketing expense was $58.5 million in Q1 or 38% of total revenue, an improvement of more than 300 basis points year-over-year. We still intend to invest aggressively in sales and marketing capacity in 2021 as long as we continue to see a healthy demand environment. Q1 research and development expense was $33.9 million or 22% of revenue, up slightly from 21% of revenue in Q1 '20. We continue to invest aggressively in building our global cloud platform, integrating acquisitions and building new capabilities to drive long-term growth and cost efficiencies. Q1 general and administrative expense was $23 million or 15% of revenue versus 16% of revenue in Q1 '20. Q1 operating loss was $2.2 million, which was better than our guidance, largely as a result of stronger-than-expected revenue and gross margin. Q1 net loss per share was $0.08 in the quarter based on 85.4 million shares outstanding. Total deferred revenue at the end of Q1 '21 was $225.5 million, up 36% from $165.4 million at the end of Q1 '20 and up 29% year-over-year, excluding acquisitions since Q4 '20. Calculated billings is a non-GAAP metric that takes into consideration revenue and the change in deferred revenue as well as the change in contract liabilities. Calculated billings was $171.8 million in Q1 '21, up 47% year-over-year or 37% excluding the impact from acquisitions since Q4 '20 on revenue, deferred revenue and contract liabilities. We were excited to produce 37% year-over-year organic calculated billings growth, which reflected a strong demand environment and an easier comparison from the COVID-19 impact on Q1 '20 billings. Free cash flow was negative $31.9 million in the first quarter compared to negative $26.1 million in the same quarter last year. The level of cash consumption in Q1 was expected and was largely driven by the payment of our annual corporate bonuses, large insurance renewals and the renewal of various large software licenses. As we have stated on past calls, our free cash flow will fluctuate from quarter-to-quarter caused by many factors including the timing of working capital, the seasonality and levels of our billings and expenses as well as our overall level of investment in the business. Our cash and cash equivalents were $638.8 million at the end of Q1 '21, an increase of $188.3 million from $450.5 million at the end of Q1 '20. I will now conclude the call by providing guidance on revenue and non-GAAP operating loss for Q2 and for the full year 2021. We'd like to update you about our revenue mix expectations. We now expect a slightly higher mix of professional services and other revenue in the range of 8% to 9% of total 2021 revenues. This is predominantly due to our expectation of the mix from recent M&A and not a change in our core business strategy. For Q2 2021, we expect total revenue between $153 million and $155 million, which represents a 32% year-over-year growth rate at the midpoint of the range or 25% year-over-year, excluding revenue from acquisitions closed since Q4 '20. These figures reflect the SST price reduction, which we believe produces a growth headwind of approximately 3 percentage points. We expect our Q2 non-GAAP operating loss to be in a range of $8 million to $10 million, reflecting a ramp and more aggressive spending for M&A integration, sales and marketing and research and development. For the full year 2021, we expect total revenue between $650 million and $654 million, which represents a 30% year-over-year growth rate at the midpoint of the range or 24% year-over-year, excluding an expected $37 million in revenue from acquisitions closed since Q4 '20.  We estimate these figures are approximately 3 percentage points lower than they would have been without the SST price reduction.  As a reminder, M&A is part of Avalara's DNA, and we have acquired dozens of companies since Avalara's founding. We don't acquire for revenue but rather to accelerate our vision to become the global compliance platform through the acquisition of talent, additional content, new technology and geographic expansion. We expect our full year 2021 non-GAAP operating loss to be in the range of $15 million to $19 million, reflecting a ramp in more aggressive investments for M&A integration, sales and marketing and research and development.  We continue to expect a modest level of free cash burn in 2021, consistent with what we shared on our February 2021 earnings call.  Please note that our virtual Analyst Day will be held on Thursday, May 27, in conjunction with our virtual CRUSH annual users conference. Also, we will participate in upcoming conferences, including Bank of America, JPMorgan, Needham, Stifel and William Blair on the second quarter.  Thank you for participating on today's call. At this point, we would like to open up the call for your questions.
Operator: [Operator Instructions]. Our first question comes from Chris Merwin with Goldman Sachs.
Christopher Merwin: Congrats on the great results here. I wanted to ask about the sales motion for the company. I know you built this company with huge partner network bringing leads, closing those leads, primarily on the AvaTax platform historically, but now the product has evolved and so much broader and you're doing enterprise-level deals. So can you talk a bit about how the sales motion and culture has been evolving, how the sales team is doing, obviously, in closing kind of some of these cross-sell opportunities? And where I'm kind of going with this is just curious how we should be thinking about the net retention rate long term as the expansion opportunities keep growing within the base.
Scott McFarlane: Sure, Chris. Thanks a lot. What I'll do is I'll talk a little bit about our sales motion, and I'll let Ross talk a little bit about net retention rate and How he sees all that coming together. But I mean, for us, we've had a really simple formula. I mean we know that as we've been emerging in this market, we had to build out a qualified team of inside salespeople that could react to the leads that we were creating throughout the business. And that is both direct and indirect leads. And over time that, that was generally going to be just a ground-up effort. We also had to have what I call our SAM team, right, which is the team that is working with partners and growing partners. So those leads continue to generate, and we're keeping them and their sales teams engaged.  And then once you build out that team, you have the ability to go after all of that partner network that we have. And I think that we were really successful in that. And we talked a little bit about that at the -- right after the IPO, and you started to see our results of the cost of sales going down tremendously because once we built that out, once we got that going, we were able to add other partners along the line, whether it be the large marketplaces, the large e-commerce solutions where they were doing the selling for us. And we were just picking up the deal.  So we've had a really strong motion of, let's protect our moat. And once you earn the right -- and that's really what I've always said. You must earn the right to go after these big e-commerce businesses, the large partners, the large marketplaces. And once you earn that right, then you have the ability to sell to them at a much lower cost basis. And we have been really successful at doing that.  And then on the upper end, Chris, what we really talk about is because we've sort of earned that right in the mid-market because we've been building out our product level, because we've been working with our partners, we've been able to gradually move up the market. And the first thing that I would say is that you go to the upper end of the mid-market. And the upper end of the mid-market, the sales motion is almost identical to the rest of the mid-market. So it wasn't a huge transition for us.  Now going up to the Global 5000 or the Fortune 2000 here in the United States, where it's really a rip and replace, I mean that takes a different motion. That takes more tax technologists, that takes deeper industry knowledge by your sales team and by the people that are supporting that team. And obviously, you have to support all that on the back end as well. But we've been able to do that.  And we've got work to do as we move even further and further up the market. We've got to build out some of those different skill sets. But we're pretty good at taking on the opportunistic deals that we get in both doing takeaways and competitive wins in those spaces. So I'm really encouraged with where we're going at both the upper end of the market and at the lower end of the market through our partnerships. And then obviously, I think we've always dominated that mid-market. So Ross, I mean, you can say a little bit how that sales motion works with NRR.
Ross Tennenbaum: Chris, the way we think about -- first of all, in our Analyst Day in a few weeks, we're going to talk more about it, and we're going to update the definition to fix the SST issue we've been calling out. But you got to really think about us as a platform for compliance. So everything we're doing organically with the products we've added and through acquisition, the products we've added, it's all about we've mapped the compliance journey of our customers' in tax and tangentially outside of tax and say, okay, how can we help our customers more and sell more to them in that compliance journey and monetize more.  The way it manifests ourselves is obviously in more ways to land new customer acquisition, more tip of spear ways to land than just with calculation. It manifests in more products upfront. So we're seeing more multiproduct deals upfront. And I think you'll see more in Analyst Day how we're seeing higher ASPs upfront. And then, of course, we want to continue to be able to sell more to our base and upsell our base and support our NRR over time.  And certainly, our ambition is to sell as much as we can and then support it and maybe even increase that NRR over time. But that -- it's early in that journey, and that will remain to be seen.
Operator: Our next question comes from Brad Sills with Bank of America.
Bradley Sills: Congrats on a really nice quarter. I wanted to ask about the success you're seeing with business license. Obviously, you guys are getting more and more into Avalara as a compliance platform, not just sales tax automation. Obviously, that's core. But what does your success there tell you about customers' willingness to kind of look to Avalara as that platform provider? There's a lot of other things in the works right now with 1099 and know your customer power of attorney. Anything you're hearing from customers and kind of the propensity to kind of add more of these types of services just given the success you're seeing there?
Scott McFarlane: Yes. Brad, I mean, thanks a bunch. Business licenses, and in particular, we're talking about registrations here, at least that's where we started out. Doing -- I've always said that doing registrations and getting people signed up is one of the critical elements of an end-to-end compliance solution. I mean, being able to get them registered in the states that they are and then doing new registrations as they grow and expand is really, really key.  So when we started that partnership with business licenses, I mean, we had a really good idea that, that was going to work out. And we got the opportunity to prove that out with our partnership, which is how we like to start a lot of our M&A activities. And so we had a really good idea that, that was going to work. But we also knew that business licenses supported thousands -- tens of thousands of licenses around the country, and customers had real problems with that. And so it really wasn't a stretch for us to expand what we were doing and get our -- both our CAM team, the people that are doing the hunting on the existing accounts, to start selling it and adding it on. And we've seen a really nice uptick in our ability to do that.  And likewise, I'm seeing a lot of new deals adding it on as well. Typically, when we do these acquisitions, it usually starts out with the CAM group, selling to the existing team. But I've been really impressed with how the new sales team have been able to pick this up, a TTR up and make significant sales and progress in the add-on. It's just -- I mean, it just goes -- it's just -- it's a proof point for me personally that this is exactly what customers want because they have huge compliance needs. And when they're dealing with this, they are in stress. They're having issues. They want it to go away. And the more problems we can solve for them, the stickier our services, the more we can get trusted, the more we can do other add-ons. So I think this kind of add-on just begets more add-ons and more trust and more business. So I'm very, very encouraged about where we are in the platform program.
Operator: Our next question comes from Sterling Auty with JPMorgan.
Maya Kilcullen: This is Maya on for Sterling. I was hoping I could just get a bit more color on the integration work that's necessary for the DAVO acquisition and maybe some of the contribution that you're expecting for the full year that's maybe baked into the guidance.
Scott McFarlane: Yes. Thank you. That's a great question. I mean -- so DAVO, I think, is really, really interesting. One, they are a -- as I said in my prepared remarks, we see them as sort of an entree into the low end of the market. And I mean the low end of the market. This is where you're at the restaurants and at flower shops, and they are not wanting to deal with sales tax. So you've got the -- obviously the calculation and you have all of the issues that go around solving that part of the problem. But people don't want to have to dig deep in their pocket at the end of every month and to find the money in order to make their tax payments.  What DAVO does is it just at the end of every day, it collects the money in advance. And so it's the first step in really going to a split payment process. And so for us, we're going to let DAVO do what DAVO does today. And we're going to work with them on integrating into their POS solutions that they've become really, really good at. And it's got some great POS relationships.  And so this is our entree into the split payment and also at the lower end of the market, in particular around POS, where there's a real burden on small businesses to do this. And so for us, it will just be a gradual inclusion as split payments take hold in the governmental agencies in the states and jurisdictions. And then also how we can go deeper and exploit the relationships that they've already started with the POS vendors, which we think is a very, very big market for us going forward.
Ross Tennenbaum: On the guidance question on the contribution of DAVO, since we last spoke, we closed DAVO, we closed Inposia. And we're being really transparent on the calls with breaking out organic and total growth. We're not going to talk about it for every acquisition anymore. But what we said was we're going to -- for the year, it was going to be going from $30 million of revenue from M&A to $37 million. And so what you can see based on the numbers I gave you is in Q1, we did $10.5 million of revenue from acquisition. And part of that was you can't just extrapolate that and multiply it by 4. Part of that was really strong in Q1. We had some really good strong PS performance in Q1, which is a little more volatile than a subscription.  And so I think about it in 3 ways. Number one, we're feeling really good about the acquisitions we've done. We had really good performance in Q1. We've increased our confidence and visibility into how they're going to play out for the rest of the year. And then we also layered in the Inposia and DAVO acquisitions. And that -- those 3 things combined gave us the view to take it from $30 million to $37 million of revenue from M&A.
Operator: Our next question comes from Brent Bracelin with Piper Sandler.
Brent Bracelin: Another one for Ross and a follow-up for Scott, if I could. Ross, I want to drive into the underlying strength of the quarter. I appreciate the organic billings growth figure you gave us there. But if I look at quarter-over-quarter change in short-term deferred, I think it was up over $15 million sequentially. That by far is the strongest billed we've seen and really in any Q1 by far. So walk me through what's going on there. Is it broad based? Is it more of an enterprise shift? Just trying to understand the underlying drivers of such a big seasonal increase sequentially in that deferred revenue number.
Ross Tennenbaum: Yes. No, thanks for parsing that out. The great thing about Q1 and I think really Q4 as well was it's been really balanced. It's been really strong across the board. We've seen a really good balance between new customer acquisition as well as upsell to the base. Q1 international business outgrew the U.S., very strong performance in international. We've seen across our segments from ESB to mid-market to enterprise. We've seen really healthy growth across all the segments. We've seen a continued trend of landing multiproduct, multi-connector deals. Really exciting deals we keep highlighting on our calls, but just really exciting proof of this omnichannel world and how the platform is coming to play by signing multiple products to our customers. So there was nothing unusual or any sort of increased duration or more enterprise or any of that. It's really, really a nice quarter, very well balanced in Q1. So that's the general answer, Brent.
Brent Bracelin: Got it. Certainly helpful to see. And then Scott, getting a lot of questions from investors on Stripe acquiring TaxJar, getting access to kind of their own kind of tax calculation engine. I'd love to get your thoughts. Like what -- I know that was a company, a competitor in the low end of the marketplace you saw. But walk us through your thoughts on Stripe acquiring Tax Jar. It obviously validates the market, but would love to get your views on how that impacts or could impact your business.
Scott McFarlane: Thanks, Brent. Thanks for asking that because I'm sure it's not on a lot of people's minds out there. But look, I mean sales taxes, it's a pretty small community. So I guess, first off, I'd just like to say congrats to Mark and his team, right? Because it does validate this market. I mean I know you said that, but it really does do that. It's a proof point about how important sales tax compliance is in the marketplace today.  I mean sales tax or compliance in general, it's not a side show anymore. It's front and center in commerce. And that's essentially what Stripe was saying in their press release and what they know. And I know about as much about what they're going to do as you do. But the reality is, is what their doing mean -- has really no bearing on really where we are. We just fundamentally see the market differently. I mean we believe in an independent third party across all competitive groups where you can aggregate data and you can file and you can deal with end-to-end compliance. I mean we just do not believe that this is a market where single platforms can exist.  Look, every quarter, I talk to you about the moats. I mean we've been doing -- I've been doing this for 17 years. And the partner moat is really hard to develop. And we have over 1,000 different partners. And that's what I'm talking about is aggregating. And it's really important in an omnichannel world.  And when you get the content -- content is really hard. I mean you think you've got it, but there's always more that you can do. And we've been at this for 17 years doing not only the U.S. and around the world. And we believe that in the world of Internet, anything, anywhere, anytime, anyplace that you just have to be able to handle all that different compliance. And although -- look, Stripe can do whatever Stripe can do. I mean they're a big company. It's just a long journey to get to the point where you can serve the full end-to-end customer base of partners. I mean it's one thing to be able to deal with the smallest customers, but you have to be able to deal with their most complex customers. And it doesn't do any good if you have to build out the small ones and then have to turn over the larger ones down the road.  And we get -- I mean the knock comes on the door, the phone rings every time customers start out small and that they have to go to a larger -- I mean, a larger, more complex omnichannel tax environment. That's where Avalara really, really shines. And I don't see that changing at all. They'll certainly be able to sell to their own base at the low end. But that's not where we see the market going in the long run.  So we just fundamentally have a different approach to where they are. And as you can see from our customer wins and the things that we were talking about, it really does play out in an omnichannel way. I hope that helps.
Operator: Our next question comes from Matt Stotler with William Blair.
Matthew Stotler: I got a couple on the enterprise opportunity. Starting off, I mean you talked a little bit about the kind of development towards a direct sales force and enterprise capabilities there. But obviously, the channel is just important in the enterprise as it is in the core mid-market. So would love if you could just maybe talk about where you are in establishing those enterprise-focused partnerships and what you see are the most crucial relationships to be successful in that move-up market and particularly considering that the strong relationships that potential enterprise partners may already have with incumbent providers in that segment of the market.
Scott McFarlane: I'm going to put this one to Ross here for a second because he does a really good job of explaining how we talk about the enterprise and big deals because I mean there's a difference between the large deal sizes and then enterprise in general. And then I'll come back and give you a little bit of the color on the partnerships. But I think to get a basis of how we think about it is probably the right place to start.
Ross Tennenbaum: Yes. I mean I think, when we think about enterprise, and we talk about companies with over 500 employees in enterprise. And so for us, there's about 20,000 of those in the U.S. And let's just say, split them into 15,000 and 5,000. So 5,000 is where Scott will come back and talk about what we're doing around partners and integrations and all the things that we're doing there to win the largest 5,000.  What I'd say is, one, for us, it's about 2 things, just doing bigger deals for any size customer, whether it be those 15,000 mid-market customers, even I think you'll be surprised when we get to Analyst Day how we're doing at the low end of the market in terms of ASPs. And so we're really been focused around the product expansion, the platform expansion and the go-to-market to be able to sell more to customers of any size and increase the value we're delivering to customers.  And then second, really win those top 20,000. And in the top 20,000, let's just take those 15,000 upper mid-market, lower-end enterprise, we really view that as our wheelhouse. And we see those deals all the time. And these are deals that are complex, they're omnichannel. They usually want cloud. They've got a cloud ERP. They've got an e-commerce platform. They may be on multiple marketplaces, so they're omnichannel, plays right into our strength. They're usually global, and so they're looking for U.S. content, international content. And then they usually need multiple products, not just calculate returns but certs and international and cross-border and use tax.  And so we really feel good about the partnership base that we built and the strategy we've taken to win those. And now it's really about continuing to move up and win the 5,000, which is more a displacement. And what we're doing there is based on all that we build around product and platform and now really expanding the go-to-market and the partnerships. So Scott, if you want to talk a little bit about some of the partner and channel things we're doing.
Scott McFarlane: Sure. I think we've alluded this -- quite a bit in the past. And I think Ross nailed it just right on the head. I mean those 15,000, those are our same partners. Those are the partners we deal with today. And we're just doing bigger deals with them. And as a result of that, we learn and build out our products. So it really goes to the largest kind of customers that are out there. And now as we move up to the Fortune 2000 or the Global 5000, I mean, that's a different story. I always say that, that group is dominated by the royals. And when I say the royals, I mean, those are the -- the big 4 and large integration groups.  And that's been an area for us that we've had to develop over time. And the Vertexes and the Sovoses, they've had a long-term relationship with them on-prem. And now with their fledgling -- their fledging cloud products. But as they move to the cloud, it creates opportunity for us to step in. It's a buying decision. Our job is to maintain adding the features and the -- improving our products so we can handle the most complex cases, which I believe that we are well on our way to having done and continue to improve on and developing partnerships with the integrators.  And it's not only just the upper end, big 4, it's the integrators that are doing the work on behalf of those integrators that we're developing relationships with. So I've always said that, that Fortune 2000 is opportunistic for us at this time. I mean we continue to push that envelope. I know we're putting pressure upstream. And we're going to continue to that. And the more we win, the more that the upper end of the market has to take us into account because we are a player and we are going to be there. And we are going to win our fair share of takeaways and deals up there.  So I mean, for me, this is just a long, strong sort of approach to moving upstream, protect what we have at the mid-market, dominate in those 15,000 as Ross said and win our way through the partnerships that we have to improve and build on at the enterprise level. But we're doing that every single day, and we'll continue to move upstream.
Matthew Stotler: Right. That's one helpful color. And maybe just a quick follow-up on the -- kind of the building the product and platform piece. Now obviously, you've added a lot of kind of key components over the past year or so, use tax, custom rules, exemption management, stuff like that. I guess, what's next, right? Where are the remaining gaps in the product side that you're kind of focused on when you're looking at that kind of upper end of the enterprise?
Scott McFarlane: I mean, like we've said before, from a compliance -- cloud platform perspective, I mean it's already been mentioned on the call. We talked about 1099, W-9, W-8, there's property tax that's out there. We have to build out more international content. We have to integrate the things that we already have. I mean I really think doing the Inposia and all of the e-invoicing from an international perspective is really, really important. So we've got a lot in the -- already in the company that we have to build out, but there's still quite a bit of the platform to go on. And then there's more document types that you can deal with. So there's lots of things that we can do both currently what we have and in the future.
Operator: [Operator Instructions]. Our next question comes from Siti Panigrahi with Mizuho.
Sitikantha Panigrahi: Scott, last year around this time, you talked about your vision to becoming a multiproduct company, do an end-to-end complex platform, moving upmarket, down market. So help us understand how the journey has been in the last 1 year in terms of those initiatives driving your growth. And then previously, you talked about Avalara being a mid-20% grower. So does these initiatives now change your growth profile? And if so, like how should we think about that?
Scott McFarlane: We've all -- I mean I'll just start with the last part first. And we just fundamentally believe that this is a long, strong, growing business. And I mean I don't think we see it changing dramatically over what we've been telling everybody along the way, even with the platform. I mean the platform is going to keep it going strong for a long period of time as we add all of those.  But I would say, from my perspective, and I'll change it -- slightly your question and go into how do I prioritize. Meaning, how do I think about what we're doing? I wake up every single day and I'm thinking how do we continue growth. Growth is our primary objective. We want to do it efficiently, and we want to bring all the efficiencies we can. But how do we build that -- the platform to scale, not only in the short term but in the long term.  And if you want to break that down even further, I say job #1 for us here, and I think we're doing an excellent job of that over the last year, is to protect and scale our partner moat. Protect what we have, continue to grow it, expand and win more deals in the mid-market, move upstream, as Ross and I just talked about. We have to advance in the enterprise. We have to win and protect the down -- the lower end of the market as we've talked. And we have to break out even more in international. And I think we've done an excellent job in balancing that -- those objectives. And I think you can see that in our results. And I think that those results will continue as a result of us being so focused on what you might say are simplistic things. But for us, that's how we see building this business.
Sitikantha Panigrahi: Quick follow-up, if I may. You said Florida is the last one launching this economic nexus law. But have you started seeing states enforcing these laws like post-pandemic?
Scott McFarlane: I mean they're all enforcing it in their own way. But for the right -- for the time being right now, they're focused on the pandemic and dealing with that. But they're all starting to -- as I've said in previous calls, they start looking at the number of auditors that they have, the number of -- how they're going with digital audit ways of looking at how people are performing and which ones have crossed over the nexus thresholds, and so sending them letters that says you need to start filing here. We haven't seen that. So they're all in different stages of how they're doing that.  But what I would point out to everybody, and I've said this before and I think it's really important, the governmental tailwinds have been with us for 17 years and they're going to be with us for another 100. I mean that's just the reality of what governments do. And what that means is, is that yes, they are a tailwind. But the trigger events and the things that are happening, the ROI discussions, how -- what are they doing with the growth of their business and the growth of e-commerce differ.  But those are the things that ultimately drive it. But they're coming on the tails of real good, strong tailwinds. And that's exactly what you're seeing in Florida. That's what you saw in the example of the vaping law. There's changes all the time. It's just forcing more and more compliance.
Operator: Our next question comes from Steven Chang with Stifel.
Steven Chang: I just want to know if there is maybe -- and I know you talked about it in your prepared remarks about that takeaway deal of that G2000 customer. I just wanted to see if any reason where we can expect these take wages to remain, maybe a normal occurrence in each quarter, like maybe a change of sales motion? Or -- and to build upon that, I was curious on any new features that you've recently added that you've seen have been widely adopted within enterprise-level customers, whether new or existing or maybe any features that might have tip the scales for them to sign with you.
Scott McFarlane: So takeaway deals and competitive wins and I know we've pointed the one out here, but we pointed those out in previous quarters. I mean we just see a steady stream of those. I mean I can't say it any other way. I mean we win those deals. And I would say -- you asked what do I attribute that to? One, I think our product is better. I think our team is better at identifying those and working with our partners and our selling motion and how to sell those bigger deals because it's a new motion for us, and we're learning that as we go along. So we're very early in that process, and we've got a lot in our tank to continue to fill out and grow there.  So -- but I would say the thing that really distinguishes us from everybody else is the omnichannel aspect of what we do. And these big customers don't have just 1 system. And now with e-commerce and POS and all the things that they're dealing with, they are looking for a solution that handles all of those. And that can provide them with all of the tax research that they need at the back end.  So I mean it's really a culmination of all the things that we've been talking about, but we really, really see it at the upper end when we go to do battle up there, that the omnichannel is the difference maker.
Operator: Our next question comes from Scott Berg with Needham.
Josh Reilly: This is Josh on for Scott. Since you've introduced returns for small businesses with a lower price point, curious how that product has increased your funnel of new customers, particularly from a competitive standpoint when paired with SST for the other 25 states. You're more competitive than ever on price and you have a broader product portfolio versus the competition in that segment of the market there.
Scott McFarlane: Yes. I mean it's a growing area for us. And it's something that we've always had in one form or another, but I think it's now taking a new prominence in how we're going to go to market with our big partners, right? In the end, I mean calculation is nice. Meaning -- and people can build calculations, especially simple calculations. And even at the lower end, they can do it with a single API call.  So adding things like cross-border -- simple cross-border, things like that make all offerings even at the ESB level better. But compliance is mandatory. And we've just said we want to own that market. We do millions of tax returns every year. And we want to extend that down to that lowest possible end. And it's not -- and I would just say if everybody just says, hey, it's just simple to do returns or I do returns. But there are state returns. There's local and jurisdictional returns. I mean it's a hard nut to crack.  And as you point out, I think we have a real competitive advantage at that low end for the broader compliance play. And it's at the low end ESB, but every one of the -- partners, NetSuite, all of the different companies, they all have ESB customers, and we want to be selling to them, and that's a new motion for us. So we're really excited about that growing and that be one of the future-proofing parts of our business.
Operator: Our next question comes from Stan Zlotsky with Morgan Stanley.
Stan Zlotsky: Maybe going back to what you were talking about recently with a couple of questions ago, which is international. With the acquisition of Inposia now under your belt, how are you thinking about growth in international for the remainder of this year? And then I have a very quick follow-up.
Scott McFarlane: So I mean, real quickly, we saw great traction in Q4 and then continuing acceleration in Q1 of international. We have -- I mean, I guess, the best way to say it is that we believe that the international market and the U.S. market are equal and maybe even bigger internationally. And so it has to have strong growth over time. I mean that's just a mathematical certainty. And we fundamentally believe that the markets are equal, so we're expecting it to continue to grow. And as we build out our product and we add more features, like you said, with Inposia and what we're doing with all of the e-invoicing, we're gearing up for that to be a big part of our business, not only at the end of this year, but in many, many years to come.
Stan Zlotsky: Perfect. And I wanted to go back to Ross with net revenue retention for a second. Very nice uptick sequentially versus Q4. What drove the uptick in net revenue retention? And how should we be thinking about it moving forward through the rest of the year?
Ross Tennenbaum: Yes. And I think we will talk more about it in a few weeks at Analyst Day, so clean some of the issues up with it. But I think what we're seeing now is last year, because of COVID, while churn was -- still has remained meaningfully below 4%, very healthy all along, we did see some tick-up in churn. We saw some tick-up in downgrades last year. So we've seen some improvement in those metrics.  And then from a -- on the upsell bookings side of the house continues to be consistently very, very strong. And so we continue to do well there. So I think it's sort of getting through COVID improvement in churn and downsell and continued strong performance in upsell. And then we'll clean up the metric and get it in better shape for you in a few weeks.
Operator: Our next question comes from Peter Levine with Evercore.
Peter Levine: I guess, just one on the -- on your Shopify big commerce partnerships. What has surprised you here to the upside, to the downside so far for this year? And then are there any other partners, connectors within your network worth calling out that doesn't necessarily get as much airtime as these 2?
Scott McFarlane: Yes. We have an excellent -- I think an excellent relationship and growing relationship with Shopify. We're really pleased with how that's developing and growing. And the same is true for what we're doing with Amazon and some of the others. So from -- I mean our partner relationships is what Avalara has distinguished itself on. I mean we have found a way to work with them to get them started, learn with them, monetize the business. And that's changed -- and that's constantly being able to look at what we're doing together jointly and see how we can do it better through the partnership.  And I mean I wouldn't call out any other ones that probably don't get the airtime. But I would say this just as a general rule of thumb, everybody talks about these big -- all the big partners. And Ross has said this before and I've said it before, the long tail is so critical. So those are the -- that's the unsung hero of Avalara, right? Because everybody can say they go to the big ones. But man, a lot of these big deals are driven by smaller e-commerce sites, smaller ERPs, more specialized ERPs in specific industries. Those 950 partnerships that we have that aren't in the top 50 that everybody knows about, I mean, we get a lot of business out of that. Ross will talk a little bit about that in our Analyst Day.  But the long tail, that's the call-out that I think that you're looking for. And for us, there is no competition in that space. There aren't other -- none of the other players have been chosen to be built out. These are the partners that are building Avalara into them on their -- with their own dollars, right? So they don't want multiple players in it. They don't want to have to do it. So I think that, that's really the area that I would call out.
Operator: There are no further questions at this time. I'll now turn the call back over to Scott McFarlane, Co-Founder and CEO, for closing comments.
Scott McFarlane: Sorry, it went a little longer there. I'd just like to take this final opportunity to thank all the employees here at Avalara and all of the new employees that we have from the companies that we've purchased and all the customers and partners for all their hard work and support to sort of make all of this come together. So we look forward to talking to you on the next call. Thank you all very, very much. Appreciate it.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.